Operator: Hello, and welcome to Banc of California's fourth quarter earnings conference call. [Operator Instructions]. Today's call is being recorded, and a copy of the recording will be available later today on the company's Investor Relations website. Today's presentation will also include non-GAAP measures. The reconciliation for these and the additional required information is available in the earnings press release. The referred presentation is available on the company's Investor Relations website. Before we begin, we would like to direct everyone towards the company's safe harbor statement on forward-looking statements included in both the earnings release and the earnings presentation.  I would now like to turn the conference over to Mr. Jared Wolff, Banc of California's President and Chief Executive Officer.
Jared Wolff: Good morning, and welcome to Banc of California's Fourth Quarter 2019 Earnings Conference Call. Joining me on today's call is Lynn Hopkins, Chief Financial Officer, who will talk in more detail about our quarterly results; and Mike Smith, Chief Accounting Officer and Director of Treasury, who will also be available during Q&A.  2019 was a terrific year for Banc of California. And in the fourth quarter, we continued to make meaningful progress on our core initiatives, resulting in net income available to common stockholders of $10.4 million and diluted earnings per common share of $0.20.  I'll talk some more about the highlights in a moment. But first, I want to welcome Lynn to our first earnings call with Banc of California. Lynn joined us just last month and brings a wealth of experience and knowledge to our leadership team. As we have previously discussed, Lynn and I have known each other for nearly 20 years and worked closely together for over a decade. So I know how much value she brings to our organization. She shares my vision of how we are transforming Banc of California into a relationship-focused community bank, and I look forward to working alongside her as we continue executing on the business strategy.  I'll turn the call over to her in a few minutes. However, I want to first talk about some of the business results and trends that set us up well for 2020. When I joined the bank 3 quarters ago, and after careful analysis of the business, I gave our management team 3 initiatives to focus on in order to build short- and long-term value for the bank. First and foremost, we needed to reduce our cost of deposits.  During the fourth quarter, our cost of deposits was 1.27%, down significantly from the 1.67% we reported on my first earnings call. Through internal deposit incentive programs and the concentrated effort to remix our deposit portfolio, demand deposits made up almost 50% of our total deposits at year end with noninterest-bearing deposits comprising just over 20% of total deposits, up from 13% when the year began.  The second goal we set out to accomplish was lowering our quarterly expenses. Total noninterest expenses for Q4 were $47.2 million, which when annualized, would be a 17% improvement over the full year of 2018. As we continue to transform the balance sheet and invest in business initiatives aligned with our core objectives, our operating expenses may fluctuate. I expect our operating expenses are currently in the lower end of the range for the near term. However, we will remain diligent to ensure our expenses are at an appropriate level, and we'll continue to look for efficiencies.  Finally, we targeted the asset side of our balance sheet, specifically noncore assets with the goal of remixing the balance sheet in order to optimize the bank's earning power and lower our overall risk profile. During 2019, we lowered our securities portfolio from 19% of total assets at the start of the year to under 12% in Q4, and we significantly reduced balances of brokered multi-family and brokered single-family loans by 33% and 31%, respectively. Our balance sheet is now much stronger with total assets of $7.8 billion. Further, as a result of these efforts, our NIM expanded to 3.04% for the quarter.  As discussed when I joined the bank, the purpose of these 3 goals was to create a foundation that would have the sustainable franchise value and set us up for future success. We believe that foundation has now been established and while there is more work to do, in many ways, we are a very different, more focused bank today than we were 9 months ago. A key area of focus for us in 2020 will be keeping our balance sheet at the right size as nonrelationship loans pay off and we originate new high-quality relationship loans that results in changing the mix of our balance sheet. This is a process, and our transition will continue through the year, but we are doing it from a base that is more representative of the bank we want to be.  In addition to adding Lynn to the team, we also welcomed Conan Barker and Andrew Thau to our Board of Directors during the fourth quarter. Conan and Andrew have deep roots within the Southern California business community, and I look forward to their valuable contributions in 2020 and beyond. With their addition, our Board is now comprised of 10 directors, 9 of whom are independent.  Staying on the topic of corporate governance, in December, we were pleased to be notified by the SEC staff that they have concluded the investigation opened in January of 2017, and that they do not intend on recommending an enforcement action against the company to the commission. As you know, I expressed a desire to move past as much of this as possible, and we are excited to close that chapter and finish 2019 a much stronger company than when the year began with a clear focus and stable foundation from which we intend to become a high-performing relationship-based bank.  I'll end my opening remarks by thanking our amazing colleagues at Banc of California for their tireless work this year. Our organization is filled with highly professional and capable team members dedicated to excellence and determined to ensure our clients receive the best possible service. It is through their significant efforts this year that we were able to successfully execute on all of our initiatives and are now poised to enter the new decade a stronger and more focused community bank.  Now I'd like to introduce Lynn Hopkins, who will provide more color on our operational performance, then I'll have some closing remarks before opening up the line for questions.
Lynn Hopkins: Thank you, Jared, and thank you for the kind introduction. First, I'd like to start off by saying how pleased I am with the teamwork and enthusiasm I have gotten to be a part of since starting with the bank about 6 weeks ago. It's clear the team has been able to accelerate the bank's transformation considerably over the past 10 months, and I think that is a reflection of their exceptional commitment to the company's vision as well as a high-performance culture Jared has built in partnership with the executive team and throughout all levels of the organization. I'm inspired to have joined such a great team and look forward to making a meaningful contribution for the benefit of all of our key stakeholders.  Moving on to our quarterly results. Assets declined $797 million, resulting from a net decline in loan balances of $431 million, along with a decline in unsettled security sales of $335 million and a decline in cash of $153 million. These declines were offset by an increase of $137 million in securities. The bank benefited from this decline by reducing reliance on wholesale funding.  During the quarter, in furtherance of our plans to create a more traditional securities portfolio, we sold the remaining $39 million of our longer duration agency mortgage-backed securities and purchased $192 million of new securities comprised of $126 million of agency commercial mortgage-backed securities, $53 million of municipal bonds and $14 million of corporate debt securities. At the end of the year, CLOs represented 79% of our securities portfolio, and we remain comfortable with the credit quality. We will opportunistically look to transition out of the CLOs to the extent we find other interest earning assets that provide an equivalent yield at the same or lower risk profile.  At the end of the fourth quarter, our overall securities portfolio has a lower duration and outside of our CLO balances is transitioning to a more distributed and traditional bank securities portfolio, representing 11.7% of total assets. We expect to complete the rebalancing of our securities portfolio in the first quarter and that securities will stay in a range of 10% to 15% of total assets going forward. We also saw positive effects from changing the mix of our loans within our total portfolio as total commercial-related loans represented 72.4% of our loans held for investment, up from 71.3% at the end of the prior quarter. The overall decline in loan balances was due mostly to accelerated payoffs in the brokered single-family and multi-family portfolios, payoffs from a few large C&I loans as we continue to timely manage our potential credit risk and lower total warehouse loans. The decline in loans included reductions in most categories, including lower single-family residential mortgage loans of $185 million, C&I loans of $98 million, commercial real estate loans of $72 million and multi-family of $69 million.  The loan portfolio mix of brokered single-family and multi-family loans is 52% at quarter end, which is consistent with prior quarter end, but down from 59% at the end of prior year. And we expect these loans to represent a lower percentage of the total portfolio over time.  In addition, C&I balances are 28% of our total held for investment portfolio and within our target range for C&I loans of 25% to 30% of the overall portfolio. The new loan production totaled $182 million during the quarter at a weighted average rate of 4.82%. The average production rate has come down in line with the decrease in market interest rates generally. However, the fourth quarter average production rate is 11 basis points higher than the current average portfolio yield of 4.71%. On the margin, we believe this will continue to be the case as the loans we're bringing in are more relationship based, which will then contribute to a better earnings profile and a stronger balance sheet in the long term.  In the short term, the challenge, of course, will be to maintain our earning capacity as we rebuild the balance sheet against the backdrop of payoffs in the brokered portfolio. Overall, the loan portfolio yield declined by 4 basis points quarter-over-quarter as we have originated and repriced our loans in the lower rate environment and as higher coupon commodity loans continued to be refinanced to other financial institutions. The fourth quarter loan yield does include 7 basis points due to a higher level of loan prepayment fees and accelerated discount from the repayment of purchased loans. However, the positive impact of higher prepayment fees was not enough to offset the impact of lower market interest rates.  Turning to deposits. Total deposits decreased by $343 million during the fourth quarter, driven mostly by controlled runoff of higher costing deposits, including matured CDs that were not renewed and other non-maturity accounts. Brokered CDs decreased $54 million to 0, higher-costing savings decreased by $157 million and non-brokered CDs decreased $163 million. In addition, noninterest bearing deposits declined $19 million, while interest check-in increased $31 million. While spot balances were down for noninterest-bearing check-in, average noninterest bearing check-in and interest check-in increased $95 million for the quarter. Noninterest-bearing check-in represented over 20% of our total deposits at year-end. Overall, our efforts to place a higher priority on gathering lower-costing relationship-based deposits, combined with the impact of lower market interest rates, reduced our average deposit cost by 21 basis points to 1.27% from the prior quarter.  We reduced our reliance on wholesale funds, including lower FHLB advances during the quarter. We used the proceeds from our prior quarter asset sales to pay down the FHLB advances by $455 million or 28%. We should continue to see the reliance on higher-costing wholesale funds decrease in the coming quarters as our funding needs are expected to be achieved through our deposit initiatives.  Looking at the income statement, net income available to common stockholders for the quarter was $10.4 million or $0.20 per diluted common share. After adjusting for noncore items, along with the amortization expense associated with our solar tax equity program, our operating expenses for the fourth quarter were $48.1 million. Normalizing our tax rate to 24%, operating earnings from core operations were $0.18 per diluted common share for the fourth quarter. Reconciliations for this are located within today's earnings presentation. For 2020, we expect our tax rate to be in the 22% to 24% range.  Net interest income was $56.7 million in the fourth quarter, down $2.3 million from the prior quarter due to the impact of lower average earning assets, offset in part by a higher net interest margin. Average earning assets decreased $781 million, and our net interest margin increased 18 basis points to 3.04%. The net interest margin expansion is due mainly to a 20 basis point decline in our overall funding costs to 1.55%, while the yield on interest-earning assets remained flat at 4.50%.  The earning asset yield remained flat due to an improved asset mix, as higher-yielding loans represented a higher percentage of our interest-earning assets, combined with an increased yield on our securities portfolio and offset by a lower loan portfolio yield.  Loan interest income was down by $6.4 million from the third quarter due to a $478 million decrease in average portfolio balances combined with the 4 basis point decline in average yield, as previously described. Interest income on securities declined by $2.2 million on lower average balances, offset by a 12 basis point increase in the average yield to 3.72%. The increase in the securities yield is due to the higher-yielding CLO portfolio, representing a higher percentage of this earning asset class offset by an overall lower yield on the CLO portfolio as the CLOs have reset lower based on three month LIBOR.  Fourth quarter interest expense from deposits decreased by $4.6 million due to lower average interest-bearing deposits of $468 million and a 21 basis point decline in the average cost of such deposits. Interest expense on FHLB advances decreased by $2.1 million from the prior quarter due to a lower average balance of $313 million and a 4 basis point decline in the average cost of these funds. The overall average cost of interest-bearing liabilities decreased by 18 basis points to 1.85%. Average deposit balances decreased by $408 million due to the decline in average interest-bearing deposits, offset by a $60 million increase in average noninterest-bearing deposits. Average noninterest-bearing deposits represented 19.4% of total average deposits and this contributed to the lower total deposit costs and lower total funding costs, as previously described.  Looking ahead to the first quarter, we have a good opportunity to continue this trend and maintain our net interest margin above 3%. We will continue to focus on remixing our loan portfolio away from single-family and into other high-yielding loan types, which should help to offset the impact of the September and October market rate changes. In addition, with continued emphasis on relationship banking, we expect to improve both the mix and pricing of our funding base.  We recognized the reversal in our provision for loan losses during the quarter of $2.7 million due to the $431 million reduction in total loan balances. The allowance for loan loss coverage ratio of nonperforming loans is 133%, while the overall allowance ratio to held for investment loans is 97 basis points.  Total noninterest expenses for the quarter were $47.2 million. And as I mentioned a few minutes ago, adjusting for noncore expenses, fourth quarter core operating expenses were $48.1 million or 2.42% of average assets annualized. We expect, on average, our quarterly run rate expenses to remain below $50 million for the near term. However, as a reminder, there are historically more expenses built into the first quarter of the year, so we expect to see an uptick in expenses for Q1.  Our capital position remains robust and above well capitalized due mainly to a smaller asset base. Tangible common equity increased to 8.68%, up from 6.34% one year ago. Our Series D preferred stock is redeemable in June 2020, and we're currently evaluating various options for funding the redemption of our Series D preferred stock. In addition, the company filed a Shelf Registration Statement on Form S-3 with the Securities and Exchange Commission yesterday, to provide the company with flexibility and enable it to access the public capital markets to respond to financing and business opportunities that may arise in the future. The company's prior Shelf Registration Statement expired in August 2019.  Finally, I'll move on to credit and asset quality. Asset quality remains strong as total criticized and classified loans declined by $25.8 million in the quarter. Our nonperforming assets also decreased $1.8 million to $43.4 million as of yearend. The decrease in nonperforming loans was due to the sale of $11.9 million of nonperforming loans and $4.1 million returning to performing status, offset by $14.3 million of loans being placed on nonaccrual status. Our nonperforming loan balance includes 2 large loans that make up 54% of our total nonperforming loans. One is a $14 million shared national credit that went on nonperforming status in the third quarter, and the other is a $9 million single-family residential mortgage with a 38% loan-to-value ratio that went on nonperforming status in the fourth quarter.  Aside from those two loans, nonperforming loans totaled $20 million and approximately 48% are single-family loans. We believe the risk of loss on the single-family portfolio is low and that we are appropriately reserved, but due to consumer rules, single-family loans tend to take longer to work through.  Our nonperforming loans to total assets ratio was 55 basis points at the end of the year, up from 52 basis points at the end of the prior quarter. The increase is due to a decline in total loans relative to the decline in nonperforming loans. The total delinquent loans increased by $1.3 million to $57.6 million, resulting in a year-end delinquent loans to total loans ratio of 97 basis points. The increase in delinquent loans for the linked quarters includes the addition of one $5 million C&I loan with a real estate developer that is expected to be worked out. Single-family loans represent 75% of the total delinquent loans and the other segments reflect continuing positive results. That will finish up my summary of the fourth quarter financials. So I'll go ahead and turn the call back over to Jared.
Jared Wolff: Thank you, Lynn. 2019 was a truly transformational year for Banc of California. We accelerated the transition of the bank into a relationship-focused business bank. We executed on meaningful capital management activities to unlock value within our balance sheet and deployed excess capital into areas which better optimized our business. We are remixing our entire balance sheet to drive the earnings power of our franchise, and we reduced our expenses to better fit our size and footprint.  What you have now is a bank with a solid foundation upon which we can build a high-performing relationship-focused business bank for the long term. We would not have been able to accomplish so much this past year, if not for our talented Banc of California colleagues and their unyielding dedication to meeting and exceeding our clients' expectations. By providing superior service and solid solutions for our clients, we develop relationships built on trust. And it's still confidence that our clients will have all of our resources at their disposal in our high-touch service to meet their banking needs. Our focus on service is a hallmark of Banc of California, and we look forward to serving even more business clients in the upcoming year.  We make sure that we listen to what our clients are telling us. Last quarter, I updated you about various technology initiatives we were working on and some of which resulted from feedback from our clients. We will constantly evaluate how we can improve our clients' experience and continue evolving our technology to meet the increasingly integrated needs of our business clients.  Now that we've successfully executed on our strategic initiatives for 2019, we are well positioned heading into 2020 to show improvements on both sides of the balance sheet. Our teams are focused on bringing in relationship loans and deposits, and as a result, we expect to improve our mix of deposits as well as our overall costs while maintaining our loan yield as much as possible.  The loan remixing will also result from the normal course payoffs of brokered SFR and multi-family loans. And we will redeploy that capital into lower duration, higher-yielding C&I and bridge real estate loans.  As we've stated before, over time, CRE loans, which are comprised of commercial real estate, multi-family and construction balances, should move closer to a range of 70% to 75% of our total loan portfolio, while C&I loans make up the remaining 25% to 30%. This will be due mostly to initiatives to grow our portfolio of relationship real estate loans and the incremental business that is expected to generate for the bank.  Over the next few quarters, pure earnings might be a little more tempered as we build assets back up. However, we are building this bank the right way for the long-term and creating true franchise value in the process. As we head into 2020, we have several key objectives we are focusing on for the year. Cost of deposits, the mix of our loans and deposits and our net interest margin are the areas where we expect to show progress throughout the year. Additionally, our key objectives for 2020 includes the rollout of technology initiatives as well as the further training and development of our colleagues to ensure our teams have the skills and strategies to succeed in this highly competitive market. We are in the midst of an exciting and rewarding multiyear transformation, and I look forward to showing progress on these initiatives as much as we succeeded in 2019.  Thank you for listening today, and I look forward to updating everyone on our progress towards those initiatives during our next quarterly earnings call. With that, let's go ahead and open up the line for questions.
Operator: [Operator Instructions]. The first question today comes from Matthew Clark of Piper Sandler.
Matthew Clark: Maybe first question, just wondering what the spot rate was on your interest-bearing deposits at the end of the year?
Lynn Hopkins: The spot rates -- Matt, this is Lynn. We did not disclose that in our materials quite yet. So we will be providing that subsequent to the disclosure.
Jared Wolff: We can tell you what the averages were. So for -- overall, is $125 million as you know. For CDs, it was $224 million. And there's a big bulk of CDs that are going to be repricing in the first quarter. And so we expect to have the opportunity to reprice those down.
Matthew Clark: And then -- okay. And then just on the size of the balance sheet, it looks like it might be down a little bit further here in the first quarter. But I guess, what are your thoughts on the size of the balance sheet from here and your net loan growth prospects?
Jared Wolff: Yes, it really depends on the payoffs. If the payoffs continue at the same pace that they did in the fourth quarter, I would expect for the year for our balance sheet to remain flat or perhaps a little bit larger, but not much. If payoffs reduce, then we should be able to show more growth through the year. There was -- the single-family and multi-family loans that are on our books that are at higher yields are repricing, notwithstanding prepayment penalties. That's how much of a delta there is with rates. And so it's just -- it's to be seen how much they're going to reprice.
Matthew Clark: Okay. And then just on capital -- I mean, a smaller balance sheet, your capital ratios jumped quite a bit this quarter. And you comment in the release about opportunities to deploy it to optimize franchise and improve earnings. Can you just talk more about what you mean there?
Lynn Hopkins: Sure, sure. So obviously, the balance sheet size coming down, means we do have a lot of excess capital. So we did file the Shelf Registration Statement yesterday with the SEC. So that should give us options as I look forward to 2020. The preferred stocks are -- is redeemable in June. So we're taking a look at that and then we're evaluating other options as well with the additional capital.
Matthew Clark: Okay. And then just any update on CECL? And what the Day 1 impact might be?
Lynn Hopkins: Sure. I believe in the third quarter release, the 10-Q, we had given a range of about 0 to 25%. So as the balance sheet has come down during the fourth quarter and we've continued to run our models there, I think we've refined our range to be between 0 and 15%.
Jared Wolff: I think it would be at the upper end of that range as of now. We're going to keep looking at it, and we have [indiscernible] but I think it's going to be -- as of now, Matthew, it's feeling like it's kind of middle to upper end of that range.
Operator: Next question today comes from Timur Braziler of Wells Fargo.
Jared Wolff: Timur, we can't hear you.
Timur Braziler: I'm sorry, is this better?
Jared Wolff: Yes.
Timur Braziler: Am I correct in that you exited all of the brokered single-family mortgages this quarter?
Jared Wolff: No. I mean, we still have a portfolio of brokered single-family mortgages, that's fairly substantial. There's a -- we -- they are truly brokered, they're nonrelationship based. We don't have much of a connection with the borrowers. And so we ceased that business originating those loans several quarters ago. And so there are payoffs that are going to occur with that portfolio.
Timur Braziler: Okay. So the business has been exited, okay. And so I guess, what's the balance of the brokered SFR and multi-family loans?
Jared Wolff: We don't -- I don't think we break out the distinction between what's brokered and what's not in our financials. So we can tell you the size of the portfolios, but we don't break out what's brokered and what's not. It's kind of a mixed bag. I would look at the pace of payoffs in the last quarter. And as of right now, we don't know that, that's going to change. And so we're originating new loans to replace those loans. And so we think the remix will improve our balance sheet. We'll have more -- we're getting deposits with every loan that we bring in. And I'm pleased that we're able to hold our portfolio yield pretty well. And so we're getting the leverage from reducing our deposit cost much faster than our loan yields are declining. But it's to be seen. I mean, it's just something we can't control, and we just want to keep putting on really good loans.
Timur Braziler: Okay, that's helpful. And you had mentioned that there's a large chunk of CDs that are maturing in the first quarter. Can you quantify that number and what the expected cost benefit is, if you do keep those on? Or is the expectation that they roll off?
Jared Wolff: Yes. While we're looking for the exact number -- Lynn, what's our dealing rate right now for the CDs that we think.
Lynn Hopkins: They're in the range of $150 million to $175 million. And so specifically, in the near term, for the first quarter, the CDs that are coming up are around $250 million, and they have a weighted average rate right now around the $240 million mark. So those we're repricing down into the current rate.
Jared Wolff: And our retention rate on those CDs is around 50%, maybe a little bit higher. So we're not going to save all of them. Some of them are just -- they're just going to go shop at the highest rate, but our retention rates have gone from like 18% all the way up to 50% as we revise our model and figure out what we want to keep. We could keep all of it. It's just, I think, we can do better than that, and we're trying to get the most pricing leverage we can.
Timur Braziler : Okay. And as that translates into broader funding costs, impressive move this quarter. Is the expectation that the pace of future funding cost declines kind of decelerates? Or as you guys look out at the funding schedule, is this type of pace going to be sustainable for at least the next couple of quarters?
Jared Wolff: Well, I think a lot of the low-hanging fruit has been eliminated. I would be very pleased if this quarter we were able to match last quarter. I appreciate your comments and I agree, it was a healthy drop. It's really going to depend upon our pace of bringing in DDA, noninterest-bearing and low-cost checking accounts. And I think that's our -- we have a big opportunity there. We have some chunky CDs, and -- but we have less than we used to. And so over time, the bigger impact is going to be coming from the pace of new clients with new money coming in at low rates with business accounts and less from repricing our existing portfolio.
Timur Braziler: And just one last one for me. Looking at the gain on sale of loans category, any help you can provide there? And how we should be thinking about that going forward? I know that line has kind of been all over the place recently, but any guidance there would be helpful.
Jared Wolff: So I think we have the opportunity to do that going forward. It's just going to depend on -- we have a great multi-family engine. We have the opportunity to generate loans that we might not want to hold because of the low yield, but the market will give us benefit for it, and we can have some gain on sale. And while we build up our other business lines and while the teams that we hired gets stabilized and start building up their pipelines and generating growth, that may be a lever that we choose to pull. I don't believe that long term, having a huge gain on sale line is true franchise enhancing. But I think we want to keep earnings up. We want to keep producing money for shareholders. And so to the extent that, that's a lever we choose to pull, we would look to do so.
Operator: The next question today comes from Luke Wooten of KBW.
Luke Wooten: Just wanted to talk -- I think you guys had given the CDs. You guys have a repricing, they're currently at a $240 million and you were saying you guys are -- current offering rate is $150 million to $175 million, did I hear that right?
Lynn Hopkins: Let me just clarify. These are -- we're working with the clients on a relationship basis. So we're reaching out to them and looking to work with our customers. So it's not going to work for everybody. This isn't necessarily a posted rate. So this is doing outreach with our customers and valuing those relationships. So we do expect them to reprice down.
Luke Wooten: Okay, that's definitely helpful. And then I think just one of the earlier questions was just on the brokered single-family residential portfolio. Just kind of trying to frame what the yield cutoff would be just as those pay off? I mean, with that portfolio currently yielding around, I think it's like $394 million, so we should see that come down? Is there a rate that you guys are posting for the single-family portfolio that we can kind of use as a benchmark? Or is it still kind of not disclosed so?
Jared Wolff: When you say rate that we're posting for, what do you mean? Because we're not originating single-family.
Luke Wooten: Okay. So -- but I didn't know if there was -- so that entire -- I mean, just based on that single-family portfolio, I mean, you said that there was a portion of it that was brokered and then a portion of it that, I imagine, was originated and held internally. So I didn't know if there's anything sort of to...
Jared Wolff: Luke, I will tell you that a massive part of that portfolio was just broker originated. I mean, there are no deposits associated with it. And so it's a -- they're all -- I think, they're all strong loans. We think the credit quality is good. It's a disproportionate percent of our NPLs. But overall -- relative to the size of the portfolio, it's very, very small. And so we think it's good credit quality. I'd be happy to keep it. I think we're -- for a community bank and for a relationship-focused business bank, obviously, having a large SFR portfolio is not what you would normally see in the mix. So we anticipate replacing those loans over time with better yielding relationship loans where we get deposits. I don't have a cut-off for you of what -- where that's going to settle in terms of loans. My expectation is that payoffs are going to slow. I mean, I think if -- to the extent that you want to reprice your multi-family loan or your single-family loan, just in talking to clients, people wanted to take advantage of interest rates when they moved. And they want to do it before interest rates moved again at the possibility that they could go the other direction. And so I think there was a huge urgency around it, and I think people repriced it. There may be others that lag, and so I expect there will be more payoffs. I have a hard time thinking the payoffs are going to be at the same pace, but it's to be seen. And our expectation is that we're going to replace those that run off with new high-quality loans.
Luke Wooten: Okay. That's really helpful color. And then, Lynn, just a question for you. Just -- I mean, touching on the investment portfolio, there's great success in the repositioning this quarter, given the pickup in yield. And just kind of wanted to know what reinvestment rates are on that portfolio? And if we should see -- I mean, because obviously, it's moved from, I think, essentially all CLOs to now just, I think they're roughly 70%. And I didn't know if there should be more repositioning in that manner towards diluting the effect of the CLOs and the securities portfolio? Or just kind of -- do you mind giving us a little update on that?
Lynn Hopkins: Sure. So I'm going to say generally with the investment portfolio, we're looking to keep it in the range of about 11% to 15% on the balance sheet, probably at the lower end of the range. The CLOs now represent, obviously, a higher percent of that. At the end of the third quarter, there was some unsettled securities that came in, in cash and that was redeployed during the fourth quarter, which I addressed. There's still a portion that we're addressing during the first quarter. But during the fourth quarter, you can say the reinvestment rates range between about $240 million to at the high end, I think, 4%, I'm going to say. But the key there is that the duration is shorter. So to the extent that we came out of the $240 million rate, those were longer duration, and we went back in at a $240 million rate for shorter duration. So they were better structured, even if the rate was similar. So the range is about $240 million up to about 4% based on the type of security, and we're looking to invest in sort of the same diversified basis that we were able to do in the fourth quarter. As far as the CLOs just generally, we don't necessarily have any plans to sell them specifically. I appreciate that they are a large portion of the portfolio. But until such time, we have an opportunity to redeploy them into another interest-earning asset class with similar credit quality. We'll probably hold on to those.
Luke Wooten: Okay. That's definitely helpful. And then just one last one for me. I mean, and you kind of touched on it earlier, just with the S-3 filing and everything like that. I know historically, you guys have kind of tampered with the idea of potentially issuing some sort of sub debt just to kind of either buy back stock or pay down the preferred. And I didn't know if that was still in the toolbox? Or I mean, given the current capital ratio, if you think that you wouldn't have to kind of issue any capital in order to redeem some of the outstanding?
Jared Wolff: We probably don't have to. I mean, we have $96 million coming due in June of 2020 and then we have another slot coming due in June of 2021. We want to be smart about it. We don't know which quarter rates are going to move, and we want to be appropriate with our capital. So we are looking at issuing sub debt. We haven't made a decision yet. Rates are pretty attractive. There's obviously -- with the trading at 7.375, the preferred, obviously, with sub debt, you would have interest expense deductible above the line. And so whatever rate we go out at is going to be immediately accretive relative to the preferred. I don't think we're going to need to issue $100 million. We have plenty of capital, so we can use a combination of stuff, but we're looking at all those options.
Operator: The next question today comes from Gary Tenner of D.A. Davidson.
Gary Tenner: A couple of questions here. So on the loan production for the quarter, understanding that the payoff activity obviously drove numbers down, but can you talk about specifically within C&I and CRE, where you're having the most success bringing the types of credits that fit your profile and kind of relationship banking focus?
Jared Wolff: Yes, sure. So I think there's two areas where we're going to show the most growth, both the natural dollars and percentage dollars. So on a percentage basis, we're going to show the most growth in traditional C&I loans to businesses in our footprint. And I think we've talked about in the past, I don't think we were doing a very good job at that previously. We didn't have the right team in place. We've built the right team. We're adding players as we talk. And I think just traditional lending to businesses in our footprint of all stripes, lines of credit and term loans is going to show good growth for us because we're starting from a relatively low base. They're all coming with deposits.  These are doctor offices, these are manufacturing facilities, these are local businesses that need our specialized service and appreciate our execution. From a dollar percentage, I think we're going to show probably the most impact from bridge lending on the CRE side, lending to well-heeled real estate sponsors who are active and denser in the markets where we have our footprint who are buying properties, they need to rehab them and then ultimately, they'll take them out with permanent financing from us or somebody else. That's a big part of the market in Southern California. You get paid more for execution and for ready access to capital. And when you're lending to people who do this over and over again for multi-family and other types of properties, you can build up a good track record, and they call you and say, "Hey, that building we did last time. We got another one just like it." And you become their go-to lender. And we're really focusing on that with the team that we brought in.  As I said in the prepared remarks, it takes time to build this stuff up. And we're in the middle of a process in terms of transforming our bank. It's not going to happen overnight. And so over this year, we look to remix the balance sheet, and I think the real growth is going to come in terms of higher levels of loan growth next year. I could be wrong because payoffs could temper, and then we'll have the opportunity to show real growth along with deposit growth. But for right now, I think it's going to be kind of a remixing story. And hopefully, that's going to make us more profitable.
Gary Tenner: Okay. And then just one other question. You guys have been under $10 billion for 4 consecutive quarters now. Can you remind us what the mechanics are for a bank to get out from under Durbin, if it's dwells under $10 billion for some period of time and just, from an impact perspective, if that would be meaningful?
Jared Wolff: Yes. So we have effectively no Durbin impact here, but I can talk more generally about being a $10 billion and what it means from a regulatory perspective. Generally, the regulators want to see you stabilize for a long period of time to make sure you're not bouncing back and forth between the different tiers of regulatory oversight. So if there's no prospect of going back over, they'll kind of look at you and say, okay, it looks like you're below $10 billion, and we'll treat as such. We don't see a major impact from being below $10 billion. We have really good relationship with our regulators. It could be the timing of exams, maybe you'd have them less frequently or they might group them a little bit differently. We're not that complex a business to begin with. We're pretty simple. And we don't see a major impact from a regulatory perspective, being above or below $10 billion.
Operator: The next question comes from Steve Moss of B. Riley FBR.
Stephen Moss: I'm going to start on credit. I realized from the comments on the call, there was a decrease in classified and actually an increase in criticized. Wondering, in particular, if you can give some color around the $24.9 million commercial credit that was downgraded in the quarter, what industry type and so forth?
Jared Wolff: Yes, it's a C&I credit. It's a client that we know. They were going through some changes. We expect that loan to be upgraded over the -- possibly this quarter, but if it's not this quarter, it will be next quarter.
Stephen Moss: Okay. And then just as we think about the loan loss provision and the reserve ignored CECL for the moment here. Kind of hard to see whether or not, call it, relatively stable balances, what would you expect for credit costs here going forward?
Lynn Hopkins: You're right. That's a tough one, given we're going to adopt CECL on January 1. So what I would expect is, with the balance sheet or the loan portfolio continue to undergo its remixing, to a certain extent the balances will be, let's just call them, relatively flat as the single-family and multi-family continue to pay down, and we're originating loans in our core business lines. So based on the factors and the modeling, we would expect that there would be provisions related to the new production. But it's -- again, we're assuming the impact to be around between the, call it, 10% to 15%, and then we'll be carrying it forward from there based on our current quarter's production. As well now, we're recognizing the provision for the entire estimated life of the loan at the time we put that on the balance sheet. So it could be elevated levels as we move forward.
Jared Wolff: Yes. I mean, CECL really penalize this duration. And so to the extent that we're no longer originating long-term fixed rate loans, we're going to benefit there. But we can't -- what we have in our portfolio is what we have in our portfolio, and that's going to get marked under CECL Day 1. Also, CECL has different peer averages for the different classes of loans that you put on. And so we're -- by March 31, we will have gone through this process and figure it out. I think one thing that's going to affect banks generally is they're going to have to price loans differently. With the CECL impact, could be punitive and you got to figure out and make sure that you're making money on your loans and so that could change pricing on some loans, and that's something that we're looking at very carefully. And it's something that we thought about as we thought about the asset classes and the types of loans that we wanted to go into going forward to be -- to make this bank as good as we can. On credit, generally, though, Steve, I will tell you that we feel really good about it. I mean, our credit is very stable.  Overall, criticized and classified loans went down by $25 million. We had an uptick in the classified, as you mentioned, but criticized went down by $40 million. And so the combined group went down by $25 million. So I think we feel good about it. And I'm not seeing any signs of weakness on the horizon that make me nervous. We've got those 2 large NPLs, one is in SFR, which is $9 million and is a low loan-to-value and it just takes time to work out. And the other one is the shared national credit we talked about in the past, and everybody knows we're not doing those anymore. So overall, I feel good about our credit quality.
Stephen Moss: Okay, that's helpful. And then on the securities portfolio, you guys talked about completing the remixing here in the first quarter. Just wondering for the purchases, should we look for a similar level of municipal securities and corporate debt securities purchases? And kind of what is the level of credit risk you're interested in taking within the securities portfolio?
Lynn Hopkins: So generally, I would start with the credit risk that we're taking in the securities portfolio. We are -- it will be a high-quality securities portfolio. So there'll be limited credit risk, generally speaking. And we are interested in some municipals as well as agency securities. So I think you can expect to see a similar mix going forward.
Stephen Moss: Okay. So the BBB portion of the portfolio is not likely to grow much basically?
Lynn Hopkins: Yes, that's a fair comment.
Stephen Moss: Okay. That's helpful. And then in terms of the -- in terms of just the -- on the capital front, one more time -- sorry if I missed this. In terms of return, it sounds like you guys were going to return capital. I know it's talked about the preferred, but does that include any thought on buybacks?
Jared Wolff: We're evaluating everything. I mean, we're looking at it all, and we obviously have enough capital to take more than one action. And so it's something that we're currently evaluating.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time, and thank you for your participation.